Tom Elliott: Thank you, and good morning. With us today, we have Paul Rollinson, Chief Executive Officer; Tony Giardini, Chief Financial Officer; Brant Hinze, President and Chief Operating Officer and Warwick Morley-Jepson, who will be taking over from Brant as COO in October. Before we begin, I’d like to bring to your attention the fact that we will be making forward-looking statements during this presentation. For a complete discussion of the risks, uncertainties and assumptions, which may lead to actual financial results and performance being different from estimates contained in our forward-looking information, please refer to Page 2 of this presentation, our news release dated July 30, 2014, the MD&A for 2013 and the period ended June 33, 2014, and our most recently filed AIF, all of which are available on our website. I’ll now turn the call over to Paul.
Paul Rollinson: Thanks Tom and thanks to everyone for joining us today. We realize it’s sort of a log jam this morning with a number of companies so we’ll attempt to keep our opening marks brief. Let me start by introducing Warwick who is with us today and as Tom just indicated Warwick will be taking over from Brant as Chief Operating Officer on October 1st and he is joining us on our investor call for the first time. You’ll be getting to know him much better in the months ahead. Last night we’re pleased to announce another quarter of solid operating results. Our operations continue to delivery and it build on our record of consistence and dependable four months across the portfolio. Let’s take a closer look at the Q2 results. Our second quarter production was approximately 680,000 ounces, an increase over the same quarter last year due mainly to meet production from Dvoinoye. We produced approximately 1,345,000 ounces in the first half which at midyear which is at the high-end of our annual production guidance of 2.5 million to 2.7 million ounces. Production cost of sales was $742 per ounce for the quarter and $735 per ounce for the first half which is at the low end of our guidance range of $730 to $780 per ounce. Our all in sustaining cost declined to $976 per gold equivalent ounce down from $1,038 per ounce in the same quarter last year and approximately $1000 per ounce in Q1 of this year. This downward trend reflects our continued strong focus on cost reduction across the company. Brant will review our performance for the quarter in more detail but let me point out a few highlights. Looking at Maricunga, we brought the new management team in the third quarter of last year to turnaround performance. They’ve achieved a whole range of operational improvements since then, like better equipment availability, better performance ADR plant and better performance in the heap leach. And the results speak for themselves, production is up 69% and unit costs are down 36% since the new team started. In West Africa we continue to see cost improvements at both Tasiast and Chirano. Cost of sales per ounce for the region was down 12% year-over-year as a result of the move to self-perform at Chirano and our continuous improvement efforts at Tasiast. In Russia we continue to see excellent performance from our combined Kupol and Dvoinoye operation which has been outperforming expectations. Gold production from the Kupol now increased by more than 60% over the same quarter at last year with an overall great improvement of 23%. So clearly is Dvoinoye is looking to be a great addition. We continue to model the political situation in Russia and in Ukraine. While all Russian operations have been unaffected by the economic sanctions announced to date, we are aware the potential for further sanctions and counter sanctions. But we can’t speculate about the political situation will evolve we are taking a necessary steps to mitigate or minimize potential future impacts on our operations. For example we have expedited our shipping process and now have all of our critical supplies in country for 2015 and into early 2016. Turning to our development prospects we continue to make progress at Tasiast, further evaluating opportunities to enhance project economics and de-risk execution. We’ve engaged BNP Paribas to assist and exploring project financing options. We are considering funding in the range of $700 million to $750 million of project cost and we’d expect to fund the remainder from existing cash balances and cash flow. We are continuing discussions with the Mauritania government on a range of tax and labor related issues. We have advised the government that the results of this exercise could be an important consideration in our investment decision. That said, we are making progress with the government on these issues, for example we recently received a formal approval, final permit approval to build a seawater pipeline. In addition legislation granting the mining industry a VAT exemption has been enacted. We’re currently working with the government to understand how the exemption will be implemented. At La Coipa based on favorable results from a preliminary scoping study we plan to proceed to a prefeasibility study. The study will focus on Pompeya where the average grades we’re seeing are better than what we previously processed at La Coipa, as well as oxide and transitional mineral resources at the existing Puren deposit. The recently completed scoping study has indicated that our flowsheet for Pompeya would be much the same as that for our previous La Coipa operation, so that any changes to processing would be minimal. Meanwhile we will continue to find future opportunities at the adjacent Catalina discovery and the surrounding district which we believe have excellent potential. Finally we continue to see exciting exploration results at Moroshka near Kupol as well as at Toronto where we are exploring a number of targets and believe there is good potential to expand the mine life. In conclusion, with another successful quarter behind us we remain firmly focused on the fundamentals of operational excellence, financial discipline and profitable mining. Our portfolio is performing well and we are solidly on track to meet our guidance for the full year. I’ll now turn the call over to Tony for more on our financial results.
Tony Giardini: Thank you, Paul. A strong operating performance underpins the strength of our balance sheet. As at June 30, Kinross had liquidity position of approximately $2.3 billion, this consists of $782 million in cash, cash equivalents and restricted cash and $1.5 billion in available undrawn credit facility. With a net debt position of $1.3 billion our net debt to EBITDA ratio at June 30, of 1.46 was well within our debt covenant of 3.5 to 1. In July we increased our financial flexibility by expanding the maturity base of the $500 million term loan and the $1.5 billion revolving credit facility by one year. With this extension our only debt maturity prior to 2018 is a $250 million senior notes due in 2016 and regular amortization payments on the Kupol loan. Turning now to our second quarter performance; we delivered strong second quarter production of approximately 680,000 attributable gold equivalent ounces at cost of sale of $742 per ounce and an all in sustaining cost of $976 per ounce. However gold prices continue to have an impact on our financial results. In the second quarter the average realized gold price was $1285 per ounce and the average London pm fix was $1288 per ounce both of which are down over $100 per ounce from the same quarter last year. Adjusted operating cash flow was $228 million or $0.20 per share, 11% lower compared with Q2 2013. Second quarter adjusted net earnings were $32 million or $0.03 per share compared to a $120 million or $0.10 a share in the seventh quarter last year. As a result of our continuing focus on financial discipline and reducing spending capital expenditures in the second quarter were $170 million down over 60% from the same quarter last year. Our focus on disciplined capital management and the strength of our balance sheet will continue to be priorities going forward. I’ll now turn the call over to Brant.
Brant Hinze: Thanks Tony. I’m very pleased to share with you another quarter of strong operating results. A full site by site summary is available on page 17 of yesterday’s news release. I’d like to touch on some operational highlights. Our Americas region performed well in the second quarter producing 363,000 gold equivalent ounces at a cost of sales of $837 per ounce. At Fort Knox, access to higher grade portion of the pit has been delayed longer than expected due to a localized failure within a temporary interim wall. As a result operating cost in the second quarter were impacted by a higher operating waste, lower grades resulting in lower production and longer haul distances which we expect to continue through the third quarter. However the impact on costs is expected to be temporary. We expect to access the higher grade ore by the end of the year and our production and cost targets for the year remain unchanged. At Maricunga the positive trend of increasing production and declining unit cost continued in the second quarter. The team there has made a significant impact in improving operations on all fronts including better equipment availabilities, increased pressure throughput, improve the efficiency in the ADR plant, more efficient solution management schedules and enhance management of heap leach loading schedules. The results of their efforts can be seen in the operation second quarter performance with production increasing by 22% and unit cost declining by 17% compared to the first quarter. At Paracatu we process the higher percentage of B2 ore during the second quarter. B2 ore has typically process through Plant 2 due to its higher working index. After positive results from test were conducted earlier in the year we begin blending the two ore types through both plants. This has a number of benefits for the operation including higher average grades and recoveries through Plant 1. The combined Kupol, Dvoinoye operation continue to perform well in quarter two producing 195,000 gold equivalent ounces at a cost of sales of $530 per ounce. Approximately 83,000 ounces were produced when processing high grade Dvoinoye ore during the second quarter in line with first quarter. The cost of sales per ounce increased slightly compared to quarter one mainly due to an increase in operating development and high ounces sold from Kupol. As a result of this long performance in the first half of the year our Russia operations are on -track to be at the higher end of production and the lower end of cost of sales guidance for the full year. Our West Africa operations produced a 122,000 attributable ounces at a cost of sales of $837 per ounce during the second quarter that Tasiast production was down slightly from the previous quarter as a result of lower mill grades. As anticipated Chirano was lower compared to the first quarter as a result of a trunnion failure in one of the three ball mills which occurred near the end of the first quarter, the resulting lower throughput was offset by prioritizing higher grade ore to the mill. Repairs were completed in June ahead of schedule and mill throughput is back at full capacity. Cost of sales for the region was in line with the first quarter with slightly higher cost at Chirano due to the lower production in mill repair costs. However, looking year-over-year cost at Chirano are down 20% due to the cost savings the team has achieved through the transition to self performing mining. Overall we’re very pleased with our strong operating results across our portfolio in the first half of the year and we’re focused on continuing to deliver strong results for the remainder of the year. I’d like to take this opportunity to thank our employees for their hard work and performance throughout my time with Kinross. The past four years have been a very rewarding time for me and I will miss the many friends I have made during my time here. Before turning the call back over to Paul I’d like to say that I have a superb successor in Warwick he is extremely well qualified to take over as COO. Warwick has the skills and experience necessary to build upon the company’s strong foundation of operational excellence and I wish him the very best in his new role. Paul, I’ll turn it back over to you.
Paul Rollinson: Thanks Brant. This is Brant’s call I’d like thank him once again for his leadership in building a true culture of operational excellence at Kinross in driving the consist results we’re seeing today and very importantly in helping us achieve one of the best safety records in the entire mining industry. So Brant on behalf of the company please accept our best wishes for a happy and healthy retirement. Operator I’d now like to open the line up for questions.
Question:
and:
Operator: Thank you. We’ll now begin the question-and-answer session (Operator Instructions) The first question is from Stephen Walker of RBC Capital Markets. Please go ahead.
Stephen Walker : Great, thank you. Just a couple of questions on the operations, can you clarify, first of all at Maricunga, are you continuing with the ongoing pre-strip of the waste material here or are you into a harvesting mode with respect to reducing the sustaining capital and driving costs down that way? 
 RBC Capital Markets : Great, thank you. Just a couple of questions on the operations, can you clarify, first of all at Maricunga, are you continuing with the ongoing pre-strip of the waste material here or are you into a harvesting mode with respect to reducing the sustaining capital and driving costs down that way? 
Paul Rollinson: Yes, Stephen I can address that. I think what we have said in past calls in that we were going to put this new team in there and see what they can do for performance before we make a decision on whether we’re going to reinitiate stripping. And as we indicated in previous calls we have enough ore exposed to carry us into 2015. Obviously from the results that we’ve seen we’re very-very pleased with the performance of the team and they continue to explore opportunities to continue to drive costs down and drive efficiencies into the operation. As well as you know we’re just starting into the budget season strategic business planning season, so we haven’t made any final decisions but I would say we’re very-very encouraged with what we’ve seen up to this point.
Stephen Walker : Thank you, and just maybe a question follow up if I may on Paracatu, the grades obviously improved nicely here and you’re starting to work with the blending through both the plants, I guess two things, can we expect to see these higher grades continue over the next three-four quarters or longer and recoveries ultimately I think the feasibility recoveries were in the low 80s to the high 90s, how much more improvement can you expect to see in recoveries from the 75% level that we saw here in the second quarter.
 RBC Capital Markets: Thank you, and just maybe a question follow up if I may on Paracatu, the grades obviously improved nicely here and you’re starting to work with the blending through both the plants, I guess two things, can we expect to see these higher grades continue over the next three-four quarters or longer and recoveries ultimately I think the feasibility recoveries were in the low 80s to the high 90s, how much more improvement can you expect to see in recoveries from the 75% level that we saw here in the second quarter.
Brant Hinze: Yes, just looking at it historically and I think you will remember as well too, from our technical report, our recoveries were in the mid 70s to high 70s and the grades that we are seeing currently are a result of a couple of things. One is we’re in an area that will reduce the higher B2 grades and as well too, the blend with B1, B2 on average then is raising the average grade throughput both from plant 1 and plant 2. So, if we look at the average resource 2P grade for B2 ores you know we’re in that 0.42-0.43 range so I would expect us to continue to see slightly higher grades and better recoveries.
Stephen Walker : Great, thank you very much for that Brant and again congratulations on your excellent work with Kinross.
 RBC Capital Markets : Great, thank you very much for that Brant and again congratulations on your excellent work with Kinross.
Brant Hinze: Thank you.
Operator: The next question is from Andrew Quail of Goldman Sachs, please go ahead.
Andrew Quail : Morning guys, Paul and Tony thank you very much for taking my question and congratulations on another strong quarter operationally. Just a question on costs, you guys have obviously been one of the better companies at controlling operating costs and successfully brought that down over the last couple of years. On your all-in sustained, that's fallen too, if we break it down, obviously that $10 million year-on-year has come from corporate and exploration expenditure cuts, the rest probably more so from sustaining CapEx. If we look at Q2, can we sort of get a rate per ounce of sustaining CapEx that's reasonable, to go forward from here, across the operations? 
 Goldman Sachs: Morning guys, Paul and Tony thank you very much for taking my question and congratulations on another strong quarter operationally. Just a question on costs, you guys have obviously been one of the better companies at controlling operating costs and successfully brought that down over the last couple of years. On your all-in sustained, that's fallen too, if we break it down, obviously that $10 million year-on-year has come from corporate and exploration expenditure cuts, the rest probably more so from sustaining CapEx. If we look at Q2, can we sort of get a rate per ounce of sustaining CapEx that's reasonable, to go forward from here, across the operations? 
Paul Rollinson: I think if you were to go back and strip out some of the projects, [indiscernible] capital budget, you see a fairly consistent sort of run rate of about 400 million [indiscernible]. I would say that the assets are very well maintained and that’s a reasonable assumption on the run rate. Tony.
Tony Giardini: Yes, Andrew I think that that’s probably how we would look at it. Right now as you know our guidance at the beginning of the year was $675 million which included $70 million of capitalized interest and we broke out growth capital in the current year of 205, 400 as the current year and we sort of see that as probably a reasonable number to use on a go forward basis. As Paul indicated our assets are very well capitalized, we’ve spent a lot of money at Paracatu and Fort Knox, so we feel pretty comfortable with those levels and as you pointed out the all-in sustaining cost has obviously benefited from somewhat lower capital spend that we had in 2014 and it’s trending towards the low end of our guidance of 9.50 to 10.50 so we’re pretty pleased with the operating performance here today.
Andrew Quail : Terrific guys. And this is the last one. Obviously you've said for a while that the decision on the Tasiast expansion being 2015. We're fast approaching that. Can you sort of break it down to first half, second half or give us any more guidance on that?
 Goldman Sachs: Terrific guys. And this is the last one. Obviously you've said for a while that the decision on the Tasiast expansion being 2015. We're fast approaching that. Can you sort of break it down to first half, second half or give us any more guidance on that?
Paul Rollinson: Well yes I would say we’re continuing to making progress, as we indicated previously we’ve got a number of areas we’re working on. Tony’s well underway with the project financing process which is a bit of a gaiting item. We are making good headway with the government, you would have seen that President Aziz was recently reelected with a very healthy majority and so we expect the election behind him we can focus on some of the sort of a cleanup issues we’ve been talking to him about, labor and tax related items, so, as well on the engineering project execution de-risking, we’ve, we’re progressing well there so I think I would say in general we’re feeling really good about the progress and my hope would be earlier rather than later as we get out into 2015 from where I stand today.
Andrew Quail : Thanks guys.
 Goldman Sachs: Thanks guys.
Operator: The next question is from David Haughton of BMO. Please go ahead.
David Haughton : Good morning Paul, Tony and Brant. Just circling back to Paracatu, if I may, at one stage there was an expectation that Plant 1 would close as the B1 ore kind of petered out from here and my recollection was about 18 million tonnes per annum. With the blending that you’re talking about, Brant, does that mean that there is a potential that you could keep this kind of throughput level going for longer?
 BMO Capital Markets: Good morning Paul, Tony and Brant. Just circling back to Paracatu, if I may, at one stage there was an expectation that Plant 1 would close as the B1 ore kind of petered out from here and my recollection was about 18 million tonnes per annum. With the blending that you’re talking about, Brant, does that mean that there is a potential that you could keep this kind of throughput level going for longer?
Brant Hinze: Yes, David I can certainly address that. One of the things that we will see through Plant 1, because what the blend on average it will be a higher work index so we will see actually the throughput through Plant 1 decrease a little bit. Having said that on Plant 2 with a blend it will be lower average work index we we’ll see the increase in throughput there. So on that it will be roughly the same mill throughput would be the expectation here. But I’d like to maybe highlight on some of the other things to that we get as a benefit of this, as we said in our press release and in our opening comments we do get the benefit of generally higher average grades and generally higher average recoveries. But in addition to that because the way that we’re going about this we’re using a single pressure putting everything through the single side mill and then doing a split to Plant 1, Plant 2 after the SAG mill. So with that has allowed us to do now a shutdown our entire 777 fleet that we used to feed Plant 1 and it allows us to shutdown the two stage crushing circuit at Plant 1. So we have the benefit of lower overall cost as well too. So it’s a bit of a win, win situation for us.
David Haughton : And given the availability of the ore types, for how many years can you anticipate this kind of blending?
 BMO Capital Markets: And given the availability of the ore types, for how many years can you anticipate this kind of blending?
Brant Hinze: Well, if you remember and again we’re now in the middle of the SBP process, so I don’t have exact date and time, but if you remember the technical report had us processing B1 ores through 2017. So is into 2018 now I just really can’t say until we go through the SBP process. But the other thing as well too with this split that we’re doing now after the SAG mill the expectation is now the Plant 1 would run indefinitely and it would run B2 orders.
David Haughton : Excellent. Thank you Brant and enjoy your retirement.
 BMO Capital Markets: Excellent. Thank you Brant and enjoy your retirement.
Brant Hinze: I will David, thank you.
Operator: (Operator Instructions) The next question is from Adam Graf of Cowen Securities. Please go ahead.
Adam Graf : Good morning guys. Quick question on Fort Knox, can you detail a little bit the geotechnical issues there and perhaps talk a bit about going forward, how much resources and reserves are left, respectively for the mill ore there?
 Cowen Securities: Good morning guys. Quick question on Fort Knox, can you detail a little bit the geotechnical issues there and perhaps talk a bit about going forward, how much resources and reserves are left, respectively for the mill ore there?
Paul Rollinson: Yes, I can certainly give you a little bit of a history on the wall movement that we have seen. As I indicated it’s an interim wall not final wall, and we have a very high tech monitoring system on all of our walls and all of our pit and we noticed an early indication of some movement on the west wall, so what we ended up doing is pulling out of the bottom of the pit until we understood what was going on and if there was going to be some geotech movement that we’re pulling people out get them into safe area. We did get the movement and we have sent them readjusted our plan and as I indicated by the end of the year we expect to be have impact on our projections both from a production stand point and a cost stand point, although quarter two, quarter three as I indicated will continue to see the higher expense waste movement longer hauls and look at lower grades and into the mill. The Fort Knox mine wide production is through 2020 and the mill ores we have at this time right now are through 2017.
Adam Graf : And what’s the opportunity to expand or convert any additional resource there?
 Cowen Securities : And what’s the opportunity to expand or convert any additional resource there?
Paul Rollinson: We see Fort Knox as a with opportunities that we’re exploring, nothing that we can definitively say at this point or discuss in detail at this point but we do see some opportunities that we’re pretty excited about.
Tom Elliott: Thank you.
Operator: The next question’s a follow up from Stephen Walker of RBC Capital Markets, please go ahead.
Stephen Walker : Just a follow-up for Tony with respect to the project debt for Tasiast, where do you stand on that process and can you give us some guidance on what you expect the potential terms could be? Obviously it's going to be a moving figure as rates change, but what premium on top of LIBOR are you targeting and then what political risk insurance on top of that could you expect?
 RBC Capital Markets: Just a follow-up for Tony with respect to the project debt for Tasiast, where do you stand on that process and can you give us some guidance on what you expect the potential terms could be? Obviously it's going to be a moving figure as rates change, but what premium on top of LIBOR are you targeting and then what political risk insurance on top of that could you expect?
Tony Giardini: Sure Stephen, so as far as the process goes, let’s talk about that and then I’ll come back to some pricing discussion. We had been involved on the project finance side for the past several years and we had gone pens down last year when we made the decision to move to the full feasibility study and a further decision on moving forward the expansion, so now we’ve reengaged BNP Paribas to assist us on the project finance and that process is going very well. We’ve recently met with what we would see as a core group of lenders and we’ve gotten initial feedback in terms of a quantum that they would be a in a position to lend the tenure and indicative initial terms. We also see some additional upside in terms of more debt capacity in the event that we make certain procurement decisions that would be driven by the countries where that procurement would be coming from and that would provide some PRI cover and then lastly if we decide to go the MEGA route there could be an opportunity to provide some cover for a bank trust. So overall even though we’re targeting $700-750 million of project debt in quantum, with the rest of the financing coming from operating cash flow and our existing cash balances that we have. Our expectation is that the capacity should be higher than that which will give us some flexibility and hopefully driving down cost. I’m not really in a position to discuss tenor and rates but what I can do is obviously reference you back to the fact that we did a bond deal earlier this year where we raised ten year money at roughly 5.95%. If you look at that in the context of the current market it’s probably 50 basis points tighter than that so probably somewhere around 5.5% if we looked at a similar tenure of ten years and going on to public debt markets. In terms of recourse we expect that it would be a recourse to Kinross through the construction period and then we’ll go non-recourse after that subject to obviously negotiations with the lender group.
Stephen Walker : Thank you. Maybe just a general question with respect to the Russian operations and sourcing materials, what percent of materials for the operations, the mines there are only available outside of Russia, that is whether it's materials, parts, equipment, et cetera. and what is domestically sourced? I'm just curious if worse comes to worse, are there critical items that are only available outside of Russia in the operations? 
 RBC Capital Markets: Thank you. Maybe just a general question with respect to the Russian operations and sourcing materials, what percent of materials for the operations, the mines there are only available outside of Russia, that is whether it's materials, parts, equipment, et cetera. and what is domestically sourced? I'm just curious if worse comes to worse, are there critical items that are only available outside of Russia in the operations? 
Paul Rollinson: Sure Stephen maybe I’ll just start. And again just given the remote location, we obviously, transportation logistics are a big part of our consideration when we look to the mine, and then because of that remote location there’s some unique characteristics owing to shipping cycle. As you may appreciate it is an eighteen month shipping cycle but I think this was an excellent opportunity to give Warwick a chance to comment on how things worked there with the percentages and what we’ve done to mitigate risk maybe Warwick given what’s going on politically. 
Warwick Morley: Alright, thank you very much Paul and thanks Stephen for that question. As far as the spread of where we get our materials across the globe, some 25% of it comes from North America, 50% from Russia itself, about 10% from China and the rest from elsewhere on the globe. And in terms of our chance to mitigate the risks of sanctions as of this time they have not negatively affected us but in terms of mitigating what might happen going forward we identified this issue of logistics and supply of material equipment reagents as the most critical and so we in making contact with our operations, the operations identified what would be critical to the continued operation, that was all identified and typically we have a 14 month program which starts with the procurement and leading ultimately to delivery to mine. We were able to bring that process forward to a point that rather than the shipping of cargo which would typically leave the US waters in and around July-August-September of every year we brought that one forward, and in fact ships left in June. So as we stand right now all critical component equipment delivery from North America is in fact in country which then puts us in a very strong position or certainly favorable position going forward and allows us to have secure supply until February of 2016.
Jepson: Alright, thank you very much Paul and thanks Stephen for that question. As far as the spread of where we get our materials across the globe, some 25% of it comes from North America, 50% from Russia itself, about 10% from China and the rest from elsewhere on the globe. And in terms of our chance to mitigate the risks of sanctions as of this time they have not negatively affected us but in terms of mitigating what might happen going forward we identified this issue of logistics and supply of material equipment reagents as the most critical and so we in making contact with our operations, the operations identified what would be critical to the continued operation, that was all identified and typically we have a 14 month program which starts with the procurement and leading ultimately to delivery to mine. We were able to bring that process forward to a point that rather than the shipping of cargo which would typically leave the US waters in and around July-August-September of every year we brought that one forward, and in fact ships left in June. So as we stand right now all critical component equipment delivery from North America is in fact in country which then puts us in a very strong position or certainly favorable position going forward and allows us to have secure supply until February of 2016.
Stephen Walker : Great. Thank you very much Brant, thank you Paul. 
 RBC Capital Markets: Great. Thank you very much Brant, thank you Paul. 
Operator: The next question is from Jorge Beristain of Deutsche Bank. Please go ahead.
Jorge Beristain : Good morning Paul, Tony, Brant. That last question did touch a bit on what I wanted to ask about, so from what I understand, you’re saying that you’ve identified already as the shipment or the importation of foreign goods as being the key potential risk due to the rising Russian sanctions? That’s the first question.
 Deutsche Bank: Good morning Paul, Tony, Brant. That last question did touch a bit on what I wanted to ask about, so from what I understand, you’re saying that you’ve identified already as the shipment or the importation of foreign goods as being the key potential risk due to the rising Russian sanctions? That’s the first question.
Paul Rollinson: Well, I think again it’s a site of self run itself a little bit, we already had sort of 14 to 18 month shipping cycle because we as went to roads to get critical components. So there is a bit a natural advantage and what we did is on the back of what’s happened, politically we have accelerated that. So as work says our components are in place until at this point right into early 2016. So what we’re doing again, we’re trying to look at areas and we though supply chain was one of the key ones to focus on what we can control versus obviously what we can’t control and as work said our business unaffected, our relationships in the region situation normal and the side is fully supplied.
Jorge Beristain - Deutsche Bank: So my question is, would the Canadian government be instituting the same kind of financial restrictions in dealings with Russia as the United States is or is Canada following its own policy?
Paul Rollinson: I think again I can’t sort of get into the political side of it, where we see we’re minus, we’re focused on our business and where it goes from here I can’t really speculate. What has been acted to date has not affected us. Where it goes from here I just can’t speculate.
Jorge Beristain - Deutsche Bank: Thank you.
Operator: The next question is from Alex Kodatsky, CIBC 
Alex Kodatsky : Thanks, good morning. I just wanted to follow-up a bit on Tasiast. I guess the plan for this year was to work on the project financing and also try and find some incremental cost savings. It sounds like the financing side is advancing. I’m sort of curious what you’re seeing on the cost aspect, both from an industry level and whether anything has sort of popped up for you as you’ve undertaken that work? 
 CIBC World Markets: Thanks, good morning. I just wanted to follow-up a bit on Tasiast. I guess the plan for this year was to work on the project financing and also try and find some incremental cost savings. It sounds like the financing side is advancing. I’m sort of curious what you’re seeing on the cost aspect, both from an industry level and whether anything has sort of popped up for you as you’ve undertaken that work? 
Unidentified Company Representative : Yes, I can address that. I think one of the thing that is kind of a indictor for us, as we’ve mentioned before our interest in, if we make a positive go decision on this is to have free assembled units. And we have now address the market on the commercial basis from a standpoint of looking at available yards and those yards that are interested in going out for an early bid on yards and we have experienced a tremendous amount of interest. So we are seeing that as a very, very positive indicator. And we taking this opportunity well Tony and his team are looking at financing packages to look at the execution and look at opportunities to de-risk execution as well. And that goes to the whole pre-assembled units, precast concrete, things like transportation logistics and all of that. We’re at this point right now looking at as a real opportunity to continue to refine our cost and continue to reduce risk.
Alex Kodatsky : Okay, great. I appreciate the color. Thank you.
 CIBC World Markets: Okay, great. I appreciate the color. Thank you.
Operator: This concludes the time allocated for questions in today’s call.
Tom Elliot: Thank you everyone and thank you operator. We look forward to speaking with you next quarter. Thanks.